Operator: Good morning, ladies and gentlemen, and welcome to the First Quantum Minerals Quarterly Results Conference Call. I would now like to turn the meeting over to Bonita To, Director Investor Relations. Please go ahead Ms. To.
Bonita To: Thank you, Operator. Hello and thank you everybody for joining First Quantum's fourth quarter and 2021 year-end conference call. On our call today will be Tristan Pascall, our Chief Operating Officer, who will provide an overview of the operations and performance during the quarter. He will be followed by Hannes Meyer, our Chief Financial Officer, who will review the results of the financial results. Tristan will wrap things up with an overview of our strategic priorities, and after that we'll open up the lines to take questions. Before I hand it over to Tristan, there are a few items to mention. A copy of today's presentation can be found on our website. This event is also being recorded and a replay will be available. As well, all dollar amounts mentioned today are in US dollars, unless otherwise noted. And finally, today's presentation may contain forward-looking statements, so I encourage you to review Part two of our presentation. And with that, I will hand it over to Tristan.
Tristan Pascall: Thank you, Bonita. Hi everyone. Thank you for joining us today on our call to discuss the fourth quarter and year-end results. Despite the ongoing challenges of the global pandemic, First Quantum was able to deliver another year of solid copper production growth, with a record amount of copper produced for the 2021 year. We ended the year in a strong position as fourth quarter results benefited from continued strong copper prices, the rolling off of our hedge book, and continued strong operational performance. This enabled us to continue to deliver on our ongoing commitment of reducing debt, which Hannes will speak to you more in his presentation today. Before going into the operational performance during the quarter, I would like to begin with updates to other commitments we made last quarter, and also to provide some commentary on discussions with our host governments in the countries we operate. I am pleased that since our last quarterly call, First Quantum was able to deliver on two significant commitments. Firstly, on January 17, we announced that we have set targets to reduce our Scope 1 and Scope 2 greenhouse gas emissions by 30% by 2025, and by 50% by 2030. And we have provided more information on these targets in the TCFD-aligned Climate Change Report available on our website. It was important to us to set targets based on real tangible solutions, and we are pleased that the solutions identified are not expected to result in significant incremental capital or operating costs and do not rely on the use of offsets to achieve these targets. First Quantum is now well-positioned to deliver the copper that is essential to meet the global challenges posed by climate change with a significantly lower carbon footprint. Another announcement made the same day was that of a cautious but more meaningful dividend framework for our shareholders. This policy which Hannes will also discuss in more detail, highlights our confidence in the strong outlook for the business. Moving onto discussions in our host countries. In Zambia, discussions with the government of Zambia are focused on ensuring that the appropriate and enduring investment conditions exist for First Quantum to advance the Kansanshi S3 expansion and the Enterprise Nickel Project. The removal of the non-deductibility of royalties for tax purposes, which became effective at the start of this year, was an important step towards the approval of these projects. Also, the discussions are seeking on agreed mechanisms for repayment of VAT owed to the company, and for predictable returns in the future. These discussions continue to be constructive, such that we are hopeful that we can advance both these projects this year as reflected in our guidance. In Panama, discussions with the government are ongoing. During January 2022, the Government of Panama tabled a new proposal, namely that the Government of Panama should receive $375 million in benefits per year from Cobre Panama, and that the existing revenue royalty would be replaced by a gross profit royalty. The parties continue to finalize the details behind these principles, including the appropriate mechanics that would achieve the desired outcome, the necessary protections to the company's business for downside copper price and production scenarios, and to ensure that the new contract and legislation are both durable and sustainable. We continue to work on the transparency of the robust ministerial commission process and we are hopeful that we can conclude this matter shortly. Once an agreement is concluded and the full contract is documented, it is expected that the newly drafted legislation would be put to the National Assembly. Turning to our operations for the full year 2021, First Quantum achieved its highest ever annual copper production of 816,435 tons, attributable to record-breaking production at Cobre Panama and the resilience of our other operations in dealing with the ongoing challenges brought about by COVID-19. For the fourth quarter, total copper production was 201,823 tons, down 4% quarter-over-quarter on lower production at Cobre Panama, whilst Kansanshi and Sentinel continue to consistent production levels. The difficult shipping environment on containerized shipping capacity that we experienced in Q3 continued into the fourth quarter. This had an impact on our sales and shipments out of Zambia in particular, and are expected to continue throughout the first quarter of 2022. The majority of the company's products are transported in bulk and this sector has been less affected by shipping constraints.
Operator: [technical difficulty] I'm sorry to interrupt, we cannot hear the conference call anymore.
Bonita To: Hi, Operator. Yes, Tristan is dialing in from overseas. Ryan, can you take over?
Ryan MacWilliam: Let's give Tristan a moment to dial back in.
Bonita To: Okay.
Operator: Should I call him back again?
Ryan MacWilliam: Yes, please.
Bonita To: That would be helpful.
Operator: Perfect. On it right now.
Bonita To: Operator - Hannes, how about you jump in on the finance section?
Hannes Meyer: Right, Bonita. Thank you. Whilst we're waiting for Tristan to join, I'll go through the financial overview slides and then as Tristan joins, he can just conclude on these remarks. So I'd like to thank you --
Operator: Tristan has joined.
Hannes Meyer: All right.
Tristan Pascall: Hi, Hannes. Would you like me to continue from where I was?
Hannes Meyer: Sure.
Tristan Pascall: Thank you. Apologies for that. Cobre Panama's performance of 331,000 tons over the year was strong, exceeding initial 2021 guidance and achieving the top end of our revised guidance. In Q4, production was down 8% quarter-over-quarter to 80,000 tons on expected lower ore grades and an unplanned seven-day shutdown of Unit 2 of the power plant, which impacted mill tonnage. There was also a planned maintenance on Unit 1 at the power plants during the quarter, which was completed at the end of January. Year-to-date production has also been affected by two mill relines in January at Cobre Panama. Looking ahead, mill throughput is expected to ramp up over the course of 2022 to achieve between 85 million and 90 million tons for the year. Grades and recoveries are expected to be consistent with 2021 levels, but will flow - fluctuate from quarter to quarter. With the recent escalation in global energy prices, it is worth noting that we had increased exposure to spot prices for electricity in Panama during the fourth quarter while we had the planned maintenance to Unit 1. However, with the maintenance complete costs are already moving back in line with the color on coal prices for the mine. This prevents further exposure to increases in the coal price until December 2023. Kansanshi achieved copper production of 202,000 tons in 2021, reflecting the reduction in oxide ore and the ongoing challenge of the selective high ore grade methodology at Kansanshi in advance of the approval of the S3 project. Q4 was another consistent quarter, delivering copper production of 52,000 tons, as a slight decline in throughput was offset by the improved grades. Looking ahead for 2022, processed ore at Kansanshi is expected to be slightly higher compared to 2021. However, grades are expected to decline over the course of the year from Q4 2021 levels. Sentinel achieved copper production of 233,000 tons for the full year despite Ball Mill Trunnion failure in Q1 last year and a lower grade profile relative to 2020. In Q4, Sentinel produced over 60,000 tons of copper as record quarterly throughput rates equivalent to 60 million tons per annum offset lower grades in the quarter. The installation of the fourth in-pit crusher at Sentinel has been completed, which is expected to enable the process plant to achieve throughput rates equivalent to 62 million tons per annum. On slides 9 and 10, we provide information on our three-year guidance. For 2022, we are guiding for 810,000 to 880,000 tons of copper production. 2022, however, has so far got off to a slow start. At Cobre Panama, as I noted earlier, the quarter was impacted by a seven-day unplanned shutdown of the second unit at the power plant, as well as two mill relines in January. The tight containerized shipping environment continues to be felt in the first quarter, which impacts anode shipments out of Zambia. At Sentinel, the first quarter will be a ramp-up period towards 62 million tons per annum, and it was impacted by lower grades, while 2022 is expected to have a slightly higher growth profile overall. We will not see this improvement till after the first quarter. Our three-year production guidance includes completion of the CP100 Expansion in 2023 and Cobre Panama operating at 100 million tons per annum from 2024 onwards. While S3 remains subject to Board approval, we have included limited production from S3 in 2024. Likewise, Enterprise is also subject to Board approval. Our guidance includes first nickel production from Enterprise in 2023. We also show Ravensthorpe ramping up to 25,000 to 30,000 tons of nickel production supported by the completion of the Shoemaker-Levy project in Q4 last year. With regards to CapEx, approximately $2.2 billion will be spent over the three-year period, of which $1 billion relates to Kansanshi, the S3 project, $830 million to Cobre Panama, and $60 million to Enterprise, and $15 million to our Guelb Moghrein project in Mauritania. The ongoing challenges presented by the global pandemic have continued throughout the first quarter, with the Omicron variant present on several sites. Fortunately, our employees and communities are not experiencing as severe symptoms from this wave as with previous variants. The company continues to employ measures to ensure minimal spread, and the health and well-being of our workforce continues to be a priority, including maximizing vaccination rates and booster vaccination campaigns for 2022. After the huge efforts by personnel across 2020 and 2021 in dealing with the impact of the pandemic to operations, we are investing in our people to support them and ensure retention of staff at Cobre Panama. Our CapEx guidance includes new expenditure to upgrade --
Ryan MacWilliam: [technical difficulty] I think Tristan's being cut off again, so I'll continue and then hand over Hannes. We also remain focused on the ongoing importance of our community support during the ongoing pandemic, not just in order to mitigate the impacts of COVID-19, but also in greater community outreach. In the fourth quarter, we were delighted to launch our BBM Community Health program in the North Western Province of Zambia. This initiative will support the Zambian government in providing essential health services to the communities around our Sentinel and Kansanshi mines through 182 schools and health facilities, as we seek to improve the health of our host communities. Staying in Zambia, I'm pleased to highlight the fantastic collaboration between the team at Sentinel and the local communities in the construction of new infrastructure to serve local villages. After the previous wood bridges collapsed, we worked with the Chipata village to build two new bridges so that the community will not need to wade through flowing rivers to access their farmland. Our school and sports programs in Zambia are very popular. I'd like to take this opportunity to congratulate the 24 students who were awarded full scholarship at Sentinel, as well as the Kansanshi net ball team who triumphed in the northwestern Copperbelt regional tournament. Moving to Panama, I commend the team at our Cobre Panama mine for their support for the Girl Up club, a UN founded movement that provides training and support to empower young women in surrounding communities and provides them with the skills and opportunities to become future leaders. And with that, I'll turn it over to Hannes and then Tristan will be back in a few minutes to wrap things up.
Hannes Meyer: Thanks, Ryan. I'd like to direct you to the slide titled Financial Overview. It's slide 12. So financial performance in the quarter was driven by higher metal prices together with strong operational performance, which resulted in significant increase in net earnings and EBITDA, as well as a notable further reduction in net debt. Gross profit of $2.6 billion and EBITDA of $3.7 billion for the full year was substantially higher than 2020, attributable to an increased sales volumes at Cobre Panama, as well as a 33% increase in realized copper price. Net earnings attributable to shareholders of the company of $832 million and adjusted earnings of $826 million represented a significant improvement from last year. Net earnings included $159 million of foreign exchange gains, largely unrealized primarily due to the appreciation of the Zambia kwacha against the US dollar in the third quarter. Net earnings also include a total impairment charge of $44 million. Cash flow from operating activities of $2.9 billion represent a $1.3 billion or 79% increase from the prior year. Copper C1 cash cost of $1.50 per pound was $0.09 per pound higher than 2020, impacted by higher fuel costs and freight charges, together with the cessation of the open-pit mining at Las Cruces. Net debt decreased $1.4 billion over the last 12 months, and by $1.6 billion since June 2020. [technical difficulty]
Operator: Sorry for the inconvenience. Tristan Pascall has rejoined the call.
Bonita To: Tristan, can you go into the closing remarks? It seems that we've also lost Hannes.
Operator: Unfortunately, yes. His line hung up.
Bonita To: Tristan?
Tristan Pascall: Hi, Bonita. I think Ryan was just going to cover the parts of my script and then I'll come back for questions at the end.
Bonita To: Tristan, I think we've lost the whole London office, so if you can begin with the closing remarks - after Hannes' section. Yes, thank you.
Tristan Pascall: Yes. Much thanks. Sorry about this everyone, we're having some challenges with phone lines. Okay, I'll finish things off but thank you to Hannes for those comments. While it was pleasing to announce our emissions targets, a new dividend framework, and a new debt reduction targets at our Capital Markets Day, delivering on growth also continues to be a priority and reinvestment in the business remains central to our business strategy. At Cobre Panama, the CP100 Expansion is now well underway with construction already at around 35% complete. In Q4, a letter of intent was signed for renewable power being hydroelectricity sourced from the Panamanian grid for the CP100 Expansion. The process mine expansion includes a new screening facility, process water upgrades, and the addition of a sixth ball mill. In 2022, the company expects to expand the fleet by adding a fifth rope shovel, and eight additional ultra-class haul trucks. The plans also include developing the Colina pit and its associated overland conveyor and in-pit crushing facilities. Completion of construction works and commencement of commissioning is targeted for the first quarter of 2023 to allow for a ramp up of production over the course of the year and achieve a throughput rate of 100 million tons per annum by the end of 2023, and we'll add an additional 50,000 to 60,000 tons of copper to our production profile. We also plan to provide a 43-101 reserve and resource update for Cobre Panama later in this year. On S3 as noted earlier, the expansion is awaiting Board approval and discussions with the government remain constructive. S3 involves the 25 million ton per annum expansion of the sulphide ore processing facility, increasing annual throughput to 53 million tons per annum. The S3 expansion would also involve a new larger mining fleet, and combined with standalone 25 million ton from processing plant, is expected to create efficiencies and economies of scale. With much of initial foundation and steelworks already in place from prior activity, the majority of remaining construction of the S3 plants and pre-strip activities of the South East Dome is expected to take place in 2023 and 2024. Once built, S3 will increase Kansanshi's annual throughput to well over 50 million tons per annum and ensure production levels remain strong for more than 20 years. At the Enterprise project, we are also awaiting Board approval. For the most part, the Enterprise project has already been built as part of the original Sentinel construction of the process plant, and the remaining capital spending is modest at $60 million and mostly comprised of pre-strip work, which is expected to take approximately 12 months to complete. The project has the potential to add 30,000 tons per annum of nickel production per year, and our current guidance assumes first production in 2023. There is also flexibility to target higher grade portions of the ore body that allow for a substantial increase in production should the nickel price spike during the life of the mine. We are very pleased to provide a 43-101 resource update for the Las Cruces Underground Project in January, and expect to provide a reserve update later this year, which should also provide more detailed CapEx and OpEx estimates. The resources contained copper equivalent to approximately 900,000 tons, similar in scale to the original open-pit ore body. The project also has its benefits from an established relationship with local communities and experienced workforce, existing infrastructure, and environmental permitting and mining permitting in place. The key pending water authorization is expected to be granted in 2022. This project has a potential at approximately 45,000 tons of copper equivalent annually to our production profile. These four brownfield projects have us on track to produce around 1 million tons of copper per annum, while at the same time, allowing us to continue our financial discipline in reducing debt and returning capital to our shareholders. Our portfolio growth options include several major greenfield opportunities as well, notably Taca Taca and Haquira. Work continues on both of these projects and we are excited about the long-term optionality that these projects offer. We are proud of the project pipeline ahead of us at First Quantum. In coming months, we look forward to sharing with you more detail on Taca Taca through a virtual site tour, and hopefully in person to our Cobre Panama later in the year, so that you can see the progress first-hand. Finally, I would like to thank all - everyone once again. I am proud of our workforce in executing in a safe and sustainable manner in the face of ongoing challenges that continue from the COVID-19 pandemic, as well as their generous efforts and commitment to ensure that the extremely important livelihood programs to support the local communities continue. Operator, we would now be happy to take questions.
Operator: [Operator Instructions]
Hannes Meyer: Tristan, Bonita, we are back online again.
Operator: Thank you. So the first question is from Greg Barnes from TD Securities. Please go ahead, your line is open.
Greg Barnes: Thank you. Tristan, obviously with the power plants partly down during Q4, you saw your costs go up at Cobre Panama, but over the coming years, as you shift off away from the power plant and onto the grid, do you expect to see an increase in your power rates at Cobre? And obviously, that would push up costs as well over the longer-term.
Tristan Pascall: Thanks, Greg. And it's a good question. So yes, you saw in our Q1's as in Q4 C1 costs, that rise, and we indicated around $0.10 a pound. A lot of that was from exposure to the national grid. There were a number of positives around that. First of all, that we were able to draw well over 150MW for the first time down in the transmission line, which provided adequate for us to run more than half of the process plant, but yes, we did see exposure. Generally, October, November, December have been good months for hydroelectricity production and renewable energy in Panama. This year was somewhat different and somewhat of a surprise. There were some other power plants that were also undergoing maintenance at the same time, and all of that combined did push up power prices in the country. So I think we reached a peak at the 31st of January at around 192 or 193, thereabouts, per megawatt for megawatt hour for powering Panama The thrust of your question is, as to whether when we contract power, would we be looking at rates similar to that or those sort of levels of spot. And I think the answer to that is this was a peak condition and we would be looking to offtake renewable power on a long-term contract basis and seeking to ensure that those - that the rates were enshrined in that contract. And as we said before, we had indications of those pricing levels and don't expect them to be significantly different from the levels of - that we are able to generate at using coal once we add in the financing costs and depreciation costs of the power plant.
Greg Barnes: Okay. Just - thanks, Tristan. Just shifting to Zambia. In the MD&A, you highlight that the government has suggested they - the incremental look over time but changing the royalty rates, and there wasn't much detail around that. Can you provide some commentary about what their shift is or what their thinking on that is?
Tristan Pascall: Yes, so Greg, we had some very good conversations with the government of Zambia in the last month or so, and the full team from First Quantum has been out and speaking to the President, His Excellency Hakainde Hichilema and then the team that has been appointed to go through these topics. Look, I think at the moment we are not too focused on the royalty, it is really around ensuring a durable and lasting environment in Zambia that we could look at investing $1 billion at S3 and that's the key consideration. But looking forward, as we note the country's targets and their stated intent to triple copper production up to around 3 million tons, the government itself has said that they will meet - need to look at the enabling environment and that would include royalties in terms of attracting net level of investment into the country. And the good news is that has been done before. It was done in Chile between 1991 and 2001, with a triple copper production from 1.5 million tons per annum to 4.5 million tons per annum, and that was off the basis of the Chilean - the changes to legislation in Chile, which provided for that level of investment in the country. And so I think that's the nature of the comment, but really, that's a decision for the Government of Zambia, and certainly we would be supportive and be looking to invest at S3 once we get the right conditions that are right for a durable period there.
Operator: Thank you. The next question is from Orest Wowkodaw from Scotiabank. Please go ahead, your line is open.
Orest Wowkodaw: Hi, good morning. Just following up on Greg's question on Cobre Panama. Can you walk us through kind of what happened with the power plant? It sounds like there was both planned and then unplanned outages at the plant. I'm wondering also if there are any scheduled power plant outages moving forward for this year?
Tristan Pascall: Yes, sure, Orest. Thank you. So the answer is yes. The major shut was a scheduled shut, it happens every two years on each of the power plants in sequence, and so we would be doing similar shut on Unit 2 this year around November, December. And that shut is related to maintenance section across the plants and normally would take around 30 days. What happened then was we did some regular checking of the rotor, the turbine, and using the in-camera system, we found some foreign objects in the rotor and went and investigated further. We also had done some work looking as we did in the detailed inspection across the boiler, we also found an area where we had some erosion from the soot blowers on the power - on the boiler. And so it was appropriate and we made the decision to go and also check that at Unit 2. And that was the reason for the unplanned seven-day shut at Unit 2, was we went and checked the suit blowers on Unit 2 to ensure that - that if there was erosion, that it was well in hand. And the answer to that was it was fine. We made some changes and we sorted that situation out on Unit 2 during that seven-day unplanned shut. So it was the lessons from Unit 1 that we took across. All of that work was completed and the foreign particles in Unit 1 have - we're fine. We've been running like that, and the condition since March this year, we noticed a drop-off within efficiency and it was really the establishment of what had caused that drop-off in efficiency. What that did mean is it took an extra period of time into January this year to bring in the people from Skoda Doosan [indiscernible]. With the COVID protocols and so on, to come into the country took some time, but then to go through a very measured process to do the maintenance and repair, that situation which was done very well. In fact, the team on site established a new protocol for Skoda Doosan that had not been done before, and now will be taking the standard for Skoda Doosan. So very good step forward and well done by the First Quantum team there at Cobre Panama. But the power plant was re-energized and re-synchronized to the grid on the 31st of January and has been - and it's now running at full production level and we no longer have that efficiency dip that we saw in - come through in March this year.
Orest Wowkodaw: Okay. So does that mean we should anticipate sort of elevated unit cost than in Q1 in Q4 of this year as you are drawing grid power?
Tristan Pascall: So, yes, there will be an impact to Q1 this year because we had that period where we continued with Unit 1 down and we had - we were drawing from the grid. Our hope would be October, November this year when we do take off Unit 2 for a scheduled maintenance period that the - that there will be adequate rainfall in the country and there will be adequate winds. We just had a culmination of factors this year, low wind and low rainfall during which is usually the sort of peak rainfall period, and that was the reason for the higher spot prices at that time. So we would anticipate October, November that if the - if renewables are strong, then we shouldn't see the elevated prices
Orest Wowkodaw: And then just finally, you're - the MD&A talks about variable grades quarter to quarter at Cobre Panama, can you give us a sense of - does the mine plan start off with lower grades and then they improve during the year or are they truly sort of all over the place on a quarterly basis?
Tristan Pascall: Yes, Orest, it's really large volumes that have been - volumes that most suit the movement of shovels and the movement of the pit over the broader - the longer time periods, the longer time horizons. So we do see the fluctuations. But it's up and down, but as we said in May, over the year, we should be - have a consistent level towards its life of mine. John Gregory, I'm not sure if you wanted to comment any further on grade profile at Cobre Panama.
John Gregory: Orest, it's John here. Just to confirm for the overall plan for the year, and we are very confident about how much copper we will produce, on a month-by-month and hence, quarter-by-quarter, there are fluctuations that do come into the mining practice due to equipment deployment and rock condition blasting availability and blasted stocks. So we do expect to see a degree of fluctuation, but over the year, we will achieve the goals in the guidance that we've put forward.
Operator: Thank you. The next question is from Jackie Przybylowski from BMO Capital Markets. Please go ahead, your line is open.
Jackie Przybylowski: Thanks very much and thanks for the call. I just wanted to ask a question about the tax guidance that you gave in the MD&A. You're saying that the tax rate for 2022 is expected to be between 20% and 25% which is significantly lower than the 31% for 2021. I know that doesn't include any of the Law 9 changes that have been talked about. Is it possible for you to give us some kind of sensitivity with the proposals that - and I know it's not set in stone yet, but with the proposals that have been discussed so far, do you expect the tax rate, effective tax rate would be closer to that 31% that you saw in 2021?
Tristan Pascall: Hi, Jackie. Yes, thanks for the question. The change in tax rate was - and the reason for that comment, really the biggest change over the last year was the impact of the non-deductibility of the Zambian royalty regime, but then also hedge losses as well on our books. So the lower effective tax rate in 2022 is related to those physical changes in Zambia which took effect 1 January this year. And as you said, we haven't put through anything on more in part of this stage, it's really too early to say and a few moving parts there. If we get to completion of that agreement, we'll be able to provide better guidance on what the effective tax rate will be in Panama. But Juliet, I don't know whether you had any comments on the Zambian tax rate and the impact on - onto our overall tax rate?
Juliet Wall: No, I think you've summed it up very nicely Tristan. It is really why we are having that step down to 20% to 25%, is that non-deductible royalty, the impact there, but also we don't have this stuff with the hedge program and all of that we had before. And so it comes down at that much lower range.
Jackie Przybylowski: Thanks Juliet. Thanks, Tristan, and maybe just following up on Greg Barnes' question from earlier about Zambia. I know you mentioned that you would be looking to sanction the Kansanshi S3 once you had some stability or understanding about the royalties, you didn't mentioned Enterprise. What's the trigger today? What would be the trigger for sanctioning Enterprise?
Tristan Pascall: Yes. Thanks, Jackie, and it's a good question. Enterprise, earlier - it's easier to season for us, it's really $60 million capital outlay exposure there. It's very much less capital-intensive, but obviously that the original Enterprise process plant has already been built and that's largely at some cost to bring it to the side. The decision there, it does still link into the broader conversations with government. And I think it's important that we see a path forward in those discussions. So in terms of trigger point, we would like to get to that as soon as we can, but we would like to make sure that there is a clear indication as to the direction of travel. And I think we have seen that in the narrative from government and also in terms of the non-deductibility which we've seen on 1 January, but the border issues remain and we've really got to get some direction on that before we make that commitment. I would hope that we are able to get those relatively soon. And as I said, there has been a lot of conversation and a large team from First Quantum in country with the Zambian government and the designated group to discuss those points.
Jackie Przybylowski: All right. Thanks very much. I think that's my allocated two questions, so I will leave - will leave it to somebody else. Thank you.
Operator: Thank you. The next question is from Abhi Agarwal from Deutsche Bank. Please go ahead, your line is open.
Abhi Agarwal: Thank you. Thanks, team, for the details on the call. I had a couple of questions please. I will take them one by one. The first question is a follow-up to the Cobre costs. So even if you adjust for the one-off $0.10 per related cost we - cost lot we had, the C1 cash cost still went up by around 16% Q-on-Q. Was there any other transitory factors you expect to roll off as we move further into 2022? That's my first question.
Tristan Pascall: Thanks Abhi. Well, the first thing to note, we also had slightly lower copper production also on a unit cost basis, that certainly had an impact. The other changes that were in there really related to fuel costs, consumables, reagents and so on and there was some inflationary impact of that and also on shipping. Yes, I think those are the major factors, there isn't anything else that I am aware of. Juliet, am I missing something there? I think those are the major ones.
Juliet Wall: No. Yes, no, you've picked that up fully, Tristan. That's great.
Abhi Agarwal: Got it. Thank you. The second question I had is on Panama. There was a recent article which suggested that the Panamanian government is looking to propose the transformation of the power plant to renewables as soon as by 2023. Can you please comment on that? Also, can you remind us of your current plan there and what CapEx have you earmarked for the transition - for the long-term transition of the plant? Thank you.
Tristan Pascall: So Abhi, so yes, the current plan is that we would - so the first stage is the 60MW to 80MW which is required for the 100 million ton per annum increment for the CP100 Expansion, and that we have a letter of intent signed for that component. It will be 100% renewable, so - and purchased from third parties, so it's low capital cost there. And the price of that we believe is in line with where we are on a fully financed basis for the coal-fired power station cost. The second phase is by 2025, we would look to reduce our overall group emissions by 30% and that's around taking one of the units offline and replacing that with renewable. And we have solid indication that is available from hydroelectric sources on an average across the year, but with some months of the year that are lower or less availability in some months of the year. And the third phase is, by 2030, that we'll take off the second unit again with those limitations, but that would need to be replaced by a combination of gas and other renewables alongside hydro. So it is expected we'll meet some base level and for that reason we say that the coal-fired power station is probably needed to underline our base load capacity in Panama until a longer term solution is in place. In terms of the first part of your question and that related to the Minister of Energy statements, the - look, we are happy to work with the Government of Panama on their plans to reduce greenhouse gas emissions and we think those are important, and their vision for reduction in trajectories. The grid is around 60% renewable at the moment. That is really on the - in the good months when water and wind are plentiful and we saw in December and January that [indiscernible] net market. It does struggle for renewable capacity in those drier months and when there is less windy conditions. So during interim, as I said, Abhi, I think we will need to continue to have some base level electricity from the coal-fired power station and that's certainly around our conversations with the Ministry of Energy. We recognize the importance of their trajectory also around working with the grid. And as we saw, a shift away will also have an impact on power pricing in the country. Those are the factors that need to be balanced up and are a part of the conversations that we are having with government around the type of [indiscernible] that we get to the right outcome, both in terms of the trajectory to meet greenhouse gas emissions targets of the country, but also the always grid stability and panel pricing on the grid.
Operator: Thank you. The next question is from Ioannis Masvoulas from Morgan Stanley. Please go ahead, your line is open.
Ioannis Masvoulas: Thanks very much. Good morning and good afternoon. My first question is on Cobre Panama. So you highlighted some operational disruptions during Q4, but how should we think about the sequential production development into Q1 this year? Should we expect throughput rates to hit the target at 85 million to 90 million ton level and what about copper grades which were relatively weak in Q4? Thank you.
Tristan Pascall: Thanks, Ioannis. Yes, so as I said, we have had a slower start to the year in January because of two mill relines at Cobre Panama and also the impact of that - of the work on the power station. But overall across the year, we remain confident in the guidance we provided. So as I look at that, the 330,000 tons at the bottom end of guidance is what we produced last year and that was really on the basis of one hand tied behind our back or the high-level protocols for COVID-19 across three quarters of the year. And so we feel confident in that lower level limit, that production will coincide with around 85 million tons per annum, but we feel confident in that. The upper end of that - [technical difficulty]
Operator: Hello?
Bonita To: Operator, have we lost Tristan again?
Tristan Pascall: No, I am here.
Operator: It does not seem so, no, his line is still there.
Bonita To: Tristan?
Tristan Pascall: Hi, can you hear me okay?
Bonita To: Yes, we can hear you now. Thanks, Tristan. Thanks, Operator.
Tristan Pascall: So just to finish that off to say the upper end at 90 million tons would be significant. In fact, in terms of what we've seen from the process plants in higher production months, it's imminently achievable. It's really string together a good period of performance that we have added to that. Ioannis, I hope that gives you an idea of the bounds that we have put into the guidance. As I said, we are confident in achieving those levels for this year.
Ioannis Masvoulas: Great. No, that's very helpful. Thank you. And the second question is around the logistical challenges in Zambia that you highlighted that's - that are going to persist in Q1. But if I look at Q4, you managed to deliver sales above production, so how should we think about Q1? Do you think that sales can keep up with production or are we going to see a shortfall like we saw in Q3?
Tristan Pascall: Thanks, Ioannis. So definitely the worst period was in Q3 and we seem to be past that. But it is up and down. We do see some uncertainty and some volatility. So it was - I think we improved in Q4 but we are still at elevated levels, we would like to be a little bit lower in terms of the inventory levels that we have, for example, in anodes, which are shipped in containers. So looking forward in Q1, and we have seen so far this year, it has been up and down. There has been periods where it has run well and then other periods where there has been some imbalance and not normal, not the normal efficiencies in place. So that is the reason for the statement that we see it continuing but not at the sort of the worst or the peak period, which was in Q3.
Operator: Thank you. The next question is from Lawson Winder from Bank of America. Please go ahead, your line is open.
Lawson Winder: Yes, thanks so much for the - Tristan and everybody. I just wanted to touch on Panama again. So several members of Congress proposed a new mining royalty bill which would alter the current sort of existing one. And then it includes Class II Minerals which includes copper of course, having a royalty that goes up to 30% after 10 years. And I guess what I wanted to ask you about it, I mean clearly, I mean Law 9 would exempt Cobre Panama from that, at least for some period of time. But how long could you guys potentially achieve in terms of an exemption from whatever new mining code might come in? And is there a belief on your end that you can get some sort of assurances that once the next expiration of the mining license comes along, that 9 - Law 9 will remain in effect?
Tristan Pascall: Yes. Hi, Lawson. So our understanding of that situation is, we have a 20 year - plus 20-year arrangement from the last renewal, so 20 years from the renewal and then a 20-year option beyond that. And it's our understanding and the intention of the government that, as you say, Cobre Panama would be exempt in this new bill if it progresses any further. It would not relate to the existing mines and as discussions around with governments on the resolution of Law 9 contain a number of protections, that we be put into that new - just legislation that would seek protection against, for example, this type of proposed legislation. So this - the bill, if it progresses, we don't think would have any effect on Cobre Panama, given the degree of conversation and discussion around the Law 9 and the resolution of that with the current government.
Lawson Winder: Okay. Yes, that was my hunch too, thanks for confirming that. And then I also wanted to ask about the carbon price that you are now using in assessing projects and how that relates to the development of Taca Taca? And I am just curious, I mean theoretically, it would increase the cost of developing Taca Taca and potentially lower the net asset value, but are there assumptions in the current feasibility study that could be sufficiently adapted to offset that carbon price?
Tristan Pascall: Sure, Lawson. It's a good question. I think that's one that is very relevant and as we look forward, particularly to longer-dated projects that might not begin for another 5 or 7 range years, long-dated projects, so the way we look at it is the carbon price must form part of the scenario as we look at those projects, particularly those that are further out. But we see that the carbon price in our view, has a pretty direct link to copper price on that, the world that we live in where this higher carbon prices will drive demand for copper, and so there is a direct link that can be made. And that's backed up if we look at the IEA and their estimates and so on around where they see copper production coming through for different scenarios of both in terms of climate trajectories but also in terms of carbon price itself. So that is the way we look at it. And so we do look at a number of scenarios around that and as we push in the evaluation as carbon price moves, it is appropriate to also look at carbon - at different copper price scenarios that are reflective of those higher carbon prices.
Operator: Thank you. The next question is from Jatinder Goel from BNP Paribas. Please go ahead, your line is open.
Jatinder Goel: Thanks, Operator, good afternoon and good morning. Two questions, the first one on Cobre Panama. It looks like the government is expecting a proposal from your side by June on a switch to natural gas or an alternative fuel. You indicated $215 million in CapEx, so two thoughts into this question, when do you think you will start spending on this fuel transition? And secondly, is it part of the negotiations that you're currently engaged with government? Does this need to be resolved as well because for this, the time end is June but looks like the royalty and tax agreement looks more immune?
Tristan Pascall: Yes, hi Jatinder. So - and look, it's a good question and we understand, given the Minister of Energy's comments - and as I said before, we are very happy to work with the Government of Panama on their plans and their trajectories for greenhouse gas emissions in the country. And we would note, Panama is one of the three carbon-negative economies of the world, the three negative-carbon countries of the world. And that is because of the service that the Panama Canal provides in reducing the trend - the logistics time for ships because ships going through the Panama Canal save a lot of fuel burn and therefore save a lot of greenhouse gas emissions. But in terms of the energy policy, what we would point out is the impact of that, an abrupt change would have on both the stability of the grid and also pricing of electricity in the country. And we saw that in December when we saw peak prices in Panama right around $190 to $193 per megawatt hour because the hydroelectric dams were not running as well. There was less rainfall, less water and also the wind - that had a lower wind during the month. And so that is the impact of renewable energy that it's not as reliable and so having the coal-fired power station available as base load, we think will continue to be important, at least in the interim until longer-term solutions are in place that underlie the stability of the grid, and also the pricing of power on the grid. And that's the basis of our conversation with the ministry. And to answer your question, yes, it's part of the conversation that we are having on Law 9, just to go to one of the details there. And you pointed out the capital expenditure we provided of around $350 million for a gas-fired power station, but that was - we were not envisaging to invest in the next five years because the immediate transmission on renewal was available and that is we had fairly strong indications that we could take around 150MW on a long-term contracted base as renewable power in the country. And so it would only be after that time that we would examine or understand whether to proceed with the gas-fired solution that was broadly based and prolonged with its existing gas storage. And alongside that, dealing with the complex logistics of gas transports to Panama, and if the gas [indiscernible] in Colon, we would also be building a power line across from Colon to Cobre Panama, which is good for grid stability in itself, but it was the combined capital that would be around $250 million. But as we said, that is only an estimated number and we don't see that happening before around 2025.
Jatinder Goel: Thanks Tristan for the detailed explanation. Just one more on strategy, you've mentioned about adding a third frontier to First Quantum in addition to Zambia and Panama. It looks like Las Cruces will not be as big to be called as a third frontier. So is it actually going to be Taca Taca or do you think the diversification helps the case itself for a geopolitical element, i.e., looking into things like Canada, U.S. or Australia considered safer jurisdiction is also part of the thinking here?
Ryan MacWilliam: Yes. Hi, Jatinder. So look, definitely, and the reason to point out a third leg in the long-term greenfield leg as we think ahead to the - yes, exactly, the diversification of the portfolio and that that would start so we reduce the level of volatility in earnings and the volatility, for example, in the share price in First Quantum. So longer-term, we see the benefits of that strategy and we think that we have an enviable greenfield project pipeline at Taca Taca and also at Hacquira. But obviously, some work to be done in terms of building the case in Argentina. I think we are doing it over the course of 2022 and also next year 2023, in order to get to a point where the - whether we can make a decision to proceed or not for Taca Taca and also at Hacquira and working very closely with the communities there as to see whether that project could reach a decision point. More broadly, yes, I mean, we're happy to look at other areas. When asked whether we look at different jurisdictions, the answer is yes, but we - from time to time and it's really off the basis of how well we can apply our skills. And obviously in the jurisdictions that you are speaking about, there, pricing would also come a lot into those kind of decisions. But for the time being, we are very focused on our own greenfield portfolio but because we believe there is significant value that we can add there on those projects.
Operator: Thank you. The next question is from Karl Blunden from Goldman Sachs. Please go ahead, your line is open.
Karl Blunden: Hi, good afternoon. Thanks for the time. I just wanted to focus in on capital allocation. You've got pretty strong cash flow outlook coming into 2022, and you've outlined your debt reduction goals. With regard to your preferences for the capital structure between secured and unsecured debt or fixed versus floating rate debt, I would be interested to hear your thoughts at this point with rate volatility increasing and also as you roll out the hedges, perhaps some visibility into cash flow declining, right? A high cash flow outlook but declining visibility. Interested in the balance of the debt you'd have in place.
Tristan Pascall: Hey, Hannes, do you want to take that question?
Hannes Meyer: Sure. Hi, Karl. Look, at the moment, we've got about three quarters in fixed rates and a quarter in floating rates with our bank debt. I guess the bank, that is the secure element and we will retain the banks as part of the setup. In the longer run, we - you would see our overall debt reducing as we pay down some of those, the debt, and these bonds as they become callable. And stepping down to fall, we will be reducing those levels. So I think you would see on a relative basis, a larger percentage of the secured debt. Not saying the secured debt in absolute amount will go up. So it's just more as effective reduction of the bonds in that mix. I think we are comfortable with the mix of the debt we have. Of course, we can issue new notes at lower rates. But with the cash we are generating, we are left at the focus is on actually just reducing and paying back some of this debt.
Karl Blunden: That's very helpful and then just, as you think about the couple of different growth options that you might have, is it helpful to you to have a more extended debt maturity runway if you were to engage in more expensive growth options? Or should we think of you as running a relatively short-dated capital structure going forward? And then I guess I want to add on there was, would you intend to rely on revolver drawings from time to time? We noticed in the slide. So any update on that would be helpful.
Hannes Meyer: Yes, I guess the previous notes we have issued, it has always been sort of six and eight-year notes and sometimes seven-year notes. So I guess that's probably be the sweet spot for us in that regard. So as some of this debt matures, we will repay this and address it with the cash flows and other cash resources. We do on occasion use the revolver as required. Currently got drawn but I mean it is there, it is available, but it is not intended to be used as a permanent and permanently in the capital structure.
Operator: Thank you. The next question is from Matthew Fields, Bank of America. This will be our last question. Please go ahead, your line is open.
Matthew Fields: Hi, Hannes and everyone, and congratulations on a great year. I just wanted to follow up on one of Karl's questions and just sort of flesh out a comment I think Hannes you made, which was, is it your intent to repay the notes as they come due? For instance, your 7.25 due '23 become callable at par on April 1st. Is it the preference of the company to simply just repay those out of cash and cash flow and not term it out with longer-dated, more unsecured bonds?
Hannes Meyer: Mathew, yes, I mean we - in the past we've always address these notes. So we - it doesn't become current on the balance sheet. So that's the intention, is to continue addressing debt maturities before it becomes current. I mean, we've got the option now that we've got cash generation that we can use that. Of course the bond market is important to us, that we have only got one bond outstanding that's not callable at the moment. So that sets the pricing, so it is important to get a pricing point in future. But it's not that I need liquidity or - all the big projects are behind us. So we are generating cash now. So it's going to be entirely opportunistic for the company and if it suits us, we will issue a new note, but there's no need to issue a new note to term out some of this debt.
Matthew Fields: Okay, great. Thank you. And then a longer-term question, you're set to achieve your $2 billion debt reduction in the first half of this year and you said another $1 billion of debt reduction is the goal in the, I guess, the short to medium-term. Maybe you could put a little bit of a goalpost around what short to medium term means, does that mean kind of pre-Taca Taca development? Does that mean several years, like what do you think about when you mean sort of short to medium-term?
Hannes Meyer: I guess short in accounting definition will probably be a current. So I would look at 12 months, and a medium would be slightly longer than that. So 18 months to two years as a max. So I guess it gives you some sort of handle on that and it's highly dependent on the, of course, continued strong operational performance that we have, but also the copper prices, that is staying strong. So if we have strong copper prices, I mean I think that gives you sort of a good guide as to what our expectation is.
Operator: Thank you. There are no further questions registered at this time, I will turn the call back to Mr. Pascal.
Tristan Pascall: Thanks, Operator. Thank you everyone for your continued support and for joining today's call. Apologies again for the technical issues. I hope you enjoy the rest of your day. And we look forward to speaking to you again at the next quarterly update. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.